Operator: Good afternoon, everyone, and welcome to EVERTEC's First Quarter 2024 Earnings Conference Call. Today's conference call is being recorded. [Operator Instructions]  
 I would now like to turn the conference over to Beatriz Brown-Saenz of Investor Relations. Please go ahead. 
Beatriz Brown-Saenz: Thank you, and good afternoon. With me today are Mac Schuessler, our President and Chief Executive Officer; and Joaquin Castrillo, our Chief Financial Officer. 
 Before we begin, I would like to remind everyone that this call may contain forward-looking statements and should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent periodic SEC report. During today's call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income and adjusted earnings per common share. Reconciliations to GAAP measures and certain additional information are also included in today's earnings release and related supplemental slides, which are available in the Investor Relations section of our company website at www.evertecinc.com. 
 I will now hand the call over to Mac. 
Morgan Schuessler: Thanks, Beatriz, and good afternoon, everyone. We are pleased to announce a good start to the fiscal year with strong revenue growth driven by a full quarter contribution from Sinqia and organic growth across all our segments.  
 I will begin today's call with a summary of our first quarter 2024 financial results, followed by a discussion of the Puerto Rico environment and an update on Latin America. I will then turn the call over to Joaquin, who will provide some additional details on our Q1 results and an update on our 2024 outlook.  
 Beginning on Slide 4. Let's start with some financial highlights from our first quarter. We reported $205 million in revenue, a 28% increase over the prior year quarter and adjusted EBITDA was $78.2 million, up approximately 16% when compared with the prior year, driven by the revenue increase. Adjusted EBITDA margin was 38.1%, down from a year ago and aligned with our expectations, driven by a full quarter of Sinqia contribution at lower margins.  Adjusted EPS for the quarter was $0.72, up 4% year-over-year. 
 Operating cash flow for the quarter was $36 million. On the capital allocation front, we returned approximately $3 million to shareholders through dividends and entered into a $70 million ASR as anticipated on our last call, which we expect to complete by the third quarter. Our liquidity remains strong at approximately $408 million as of March 31.  
 Turning to our Puerto Rico update on Slide 5. All our Puerto Rico segments performed well during the quarter, reflecting solid organic growth over prior year. Payments Puerto Rico revenue grew approximately 10% year-over-year, driven by higher POS transactions and continued strength in ATH Móvil Business. Merchant Acquiring grew approximately 7% on a year-over-year basis, benefiting from sales volume growth and a higher spread. The Business Solutions segment returned to growth, up approximately 4% year-over-year, reflecting growth across various lines of business.  
 The Puerto Rico macro environment continues to be supportive for EVERTEC as we move through 2024. The unemployment rate remained low at 5.7% in the first quarter and the level of employment remained steady at 1.1 million, the highest number since 2009. Travel also remains robust with airport arrivals up over 10% year-over-year in the first quarter.  
 Turning to Latin America on Slide 6. LATAM revenue was up significantly year-over-year in the quarter, reflecting the contribution from the Sinqia acquisition that closed in the fourth quarter as well as continued organic growth from our legacy business.  On our last call, we discussed our area of focus with Sinqia for 2024, and we continue to make strides in all fronts. 
 From a technology modernization perspective, we have laid out detailed road maps and have identified the key projects that we will prioritize throughout 2024 with a focus on those investments that will have the largest impact for our clients. We believe these enhancements will open the door for pricing initiatives with existing customers and better offerings to capture market share. As for our customer-centric initiatives, we have implemented regular visits to our top clients, and we are making a point of acting on the feedback they've given us. 
 Our next step will be to leverage these relationships to cross-sell our products. The integration process continues to be a priority for the executive team. And to that end, we have promoted Claudio Prado to Group Head of Brazil, replacing Bernardo Gomez, who for personal reasons, has decided to take a step back and shift to a consultant role. Bernardo did a fantastic job building Sinqia over the past years, and we thank him for his contributions during the integration process. 
 Claudio has over 30 years of experience in the technology industry, including as CIO of Santander and Deutsche Bank, and over 7 years contributing to Sinqia.  Claudio's entrepreneurship background provides a good perspective of the client-focused approach best suiting him to handle the day-to-day leadership responsibilities at Sinqia. We look forward to providing further updates on the integration process as we progress.  
 With that, I will now turn the call over to Joaquin. 
Joaquín Castrillo: Thank you, Mac, and good afternoon, everyone. Turning to Slide 8. I'll begin by reviewing the first quarter results for EVERTEC. Total revenue for the first quarter was $205.3 million, up approximately 28% compared to the prior year, reflecting strong growth in our Latin America segment that benefited from a full quarter contribution from Sinqia as well as continued strong organic growth.  
 The quarter also benefited from higher sales and transaction volumes, continued strength in ATH Móvil Business and a return to growth in Business Solutions. Adjusted EBITDA for the quarter was $78.2 million, an increase of approximately 16% from the prior year. And adjusted EBITDA margin was 38.1%, down approximately 390 basis points from the prior year, mostly as a result of the Sinqia's acquisition, but aligned to our expectations.  
 Adjusted net income was $48 million, an increase of approximately 5% year-over-year, mainly as a result of the higher adjusted EBITDA and a non-GAAP tax benefit compared with a non-GAAP tax expense in the prior quarter. The tax benefit will be partially offset in the remaining quarters, and we now expect our adjusted effective tax rate to be in a range of 6% to 7%. These positive balances were partially offset by higher operating depreciation and amortization, resulting from the increased CapEx in prior years and higher cash interest expense given the incremental debt raised to acquire Sinqia.  
 Adjusted EPS was $0.72, an increase of approximately 4% from the prior year driven by the same reasons pointed out, impacting adjusted net income, partially offset by a higher share count due to the shares issued as part of the Sinqia acquisition.  
 Moving to Slide 9. I will now cover our first quarter results by segment, beginning with Merchant Acquiring. Net revenue increased by approximately 7% year-over-year to $43.1 million, driven by strong volumes and a higher spread. Sales volume was up 6%, driven by incremental volumes for existing merchants, effects of inflation on key verticals and new merchants signed towards the end of last year. Our overall spread per transaction was also higher than prior year, in part driven by card mix and partially offset by a declining average ticket. Trends for the month of April are aligned to Q1 results with mid-single-digit sales volume growth. 
 Adjusted EBITDA for the segment was $16.2 million. And adjusted EBITDA margin was 37.6%, down approximately 110 basis points from the prior year. The margin decrease was primarily due to higher transaction processing expenses given the lower average ticket per transaction.  
 On Slide 10 are the results for the Payment Services, Puerto Rico and Caribbean segment. Revenue in the quarter was $53 million, an increase of approximately 10% from the prior year. The revenue increase was driven by transaction growth of 7% year-over-year as well as continued strength in ATH Móvil Business, which experienced a 27% year-over-year increase in transactions during the quarter.  Adjusted EBITDA was $30.4 million, up approximately 9% from the prior year. And adjusted EBITDA margin was 57.2%. 
 On Slide 11 are the results for Latin America Payments & Solutions. Revenue in the quarter was $74.2 million, up approximately 110% year-over-year, reflecting a full quarter of revenue contribution from Sinqia. Contribution from the paySmart acquisition completed in March of the prior year and continued organic growth across the region as we continue to benefit from growth across key markets and from the Getnet relationship. Adjusted EBITDA was $16.3 million, up approximately 57% from the prior year, with adjusted EBITDA margin of approximately 22% down approximately 740 basis points and mainly driven by the inclusion of Sinqia, which contributes at lower margin compared to the segment average.  
 Turning to Slide 12, you will see the results for our Business Solutions segment. Revenue was $58.1 million, an increase of approximately 4% from the prior year. There were a number of factors that contributed to the higher revenue this quarter, including the effect of the CPI increase that began in Q4 of approximately 1.5% and growth across several business lines driven by the impact of incremental volumes and specific consulting projects that impacted the quarter positively.  
 Adjusted EBITDA was $23 million up approximately 3% from a year ago, and adjusted EBITDA margin was 39.6%, down approximately 50 basis points from the prior year. The margin decline is consistent with our expectations and due primarily to higher cost of sales and higher cloud expenses.  
 Moving to Slide 13, you will see a summary of our corporate and other expenses. Corporate and other expenses was $7.7 million in the quarter or 3.8% of total revenue, down from 5.7% in the prior year quarter due to lower professional services and personnel costs as we continue to manage expenses.  
 Moving on to our cash flow overview on Slide 14. Net cash from operating activities was approximately $36 million. Capital expenditures were $21.9 million for the quarter. We drew $80 million from our revolving facility, paid down $23.1 million in debt. Paid dividends of $3 million and entered into the $70 million ASR. Our ending cash balance in March was $317.3 million (sic) [ $337.6 million ], a decrease of approximately $1.4 million from year-end 2023.  
 On Slide 15, our net debt position at quarter end was approximately $793 million, comprised of approximately $1.1 billion in total loan and short-term debt, offset by approximately $294 million of unrestricted cash. Our net debt to trailing 12-month adjusted EBITDA was approximately 2.51x up from 0.9x a year ago, but still within our target range of 2 to 3x.  As of December 31, our total liquidity, which excludes restricted cash and includes our borrowing capacity, was $407.6 million, up from $367.6 million from a year ago.  
 Now turning to Slide 16, I'll provide an update on our outlook for the remainder of the year. We are raising the lower end of our revenue outlook by maintaining the high end of our revenue range for the year resulting in a range of $846 million to $854 million, representing growth over the prior year of approximately 22% to 23%.  
 Regarding overall margin, we continue to anticipate that our adjusted EBITDA margin will be between 38.5% to 39.5%. And on adjusted EPS, we are also raising the lower end of our outlook and maintaining the higher end resulting in a range of $2.85 to $2.94, representing growth of approximately 1% to 4%, when compared with $2.82 reported for the prior year.  
 Our operating depreciation came in above our earlier forecast, and we now expect a higher overall operating depreciation for the full year with a partial offset to this impact coming from taxes where we now expect a lower effective tax rate in the 6% to 7% range for the full year.  
 In terms of segments and given our Q1 results, we now expect Merchant Acquiring to grow closer to mid-single digits. We continue to expect our Payment Processing Puerto Rico segment to grow in the mid-single digits. For LATAM Payments & Solutions segment, we expect growth in the low 70s. And for Business Solutions, we still expect revenue growth in the low single digits for the year.  
 In summary, we are pleased with our first quarter results. We continue to work on integrating Sinqia, while also delivering strong results from our payment businesses in Puerto Rico and the rest of Latin America. We believe EVERTEC is well positioned for growth for the remainder of 2024 and beyond. We look forward to updating you on our progress in the coming year and hope to see some of you at conferences over the next few months.  
 With that, operator, please open the line for questions. 
Operator: [Operator Instructions] The first question comes from Chris Kennedy with William Blair. 
Cristopher Kennedy: Can you give your updated thoughts on the accretion opportunities for Sinqia? 
Joaquín Castrillo: Chris, this is Joaquin. So as we said in our last call, we continue to expect Sinqia to be more on the neutral side of the range. We had originally commented when we closed on the deal that we're going to be in the neutral to slightly accretive range. And as we discussed a little bit in the last quarter and given a little bit of the slowdown coming off of -- towards the end of the year last year, we now expect it to be in the -- closer to the neutral side of that range. 
Morgan Schuessler: And let me add a little color. So I mean, we're still incredibly excited about Sinqia. I mean what we're very focused on right now is discipline around execution. So we're focused on -- now that we've had the leadership change, now Claudio is running the company. He has self-focused, reporting directly to him. So we're very focused on selling more and converting the sales through implementations into revenue faster. We've also now built a plan on -- in the past, they are very focused on buying other companies and trying to absorb those. Now we're focused on investing in those platforms, so we can continue to sell more features, more customizations, that type of thing.  
 And then finally, we are looking long term at how do we make this a faster growing, more accretive deal is by also looking at pricing, how do we price better, because they've accumulated all these companies, but now they have the opportunity to go back and look at how do they price each of the contracts better. So that's what we're really focused on, Chris, is how do they execute better, because the past 2 years, they've been focused on absorbing companies, going through the sales process. We now have a CEO in place, who is focused on the company and not personal issues and is focused on executing the companies that he's bought. So we're still very bullish. 
Cristopher Kennedy: Right. And then just one follow-up. Can you give the organic growth of the Caribbean business or the non-Puerto Rico business? 
Joaquín Castrillo: I mean we're not breaking out our Latin America segment, right, in terms of the different pieces. As we've said, we continue to expect that segment to grow in the double digits. Obviously, this year, it's very different, because we have the Sinqia impact on a year-over-year basis. But that continues to be an expectation for the segment overall. 
Operator: The next question comes from Nate Svensson with Deutsche Bank. 
Christopher Svensson: I wanted to touch on EBITDA margins quickly. So maybe a touch lower than where the street was before the print and I guess, 38.1% is below the low end of your guide for the full year. So I know you said that margins were in line with your expectations, but maybe you can talk about some of the puts and takes with margins in 1Q beyond the impact of Sinqia. And then, I guess, maybe in light of maybe higher expenses in 1Q, anything we should keep in mind when modeling margins out through the remainder of the year? 
Joaquín Castrillo: No. So yes, given the guidance, we are a tad below [indiscernible] the guidance for the quarter. But as we reiterated in the outlook, we continue to be comfortable with the 38.5% to 39.5% over the full year. As we move into the second half of the year, we believe that we'll be able to drive slightly better margins than what we had in the first quarter. And as we've always done, we're continuously focusing on where can we find efficiencies to drive better margins given the scalability of our business. So that's something that's top of our mind continuously, and we'll continue to work on that towards the end of the year. 
Christopher Svensson: Got it. I appreciate the color there. And then I guess -- so I appreciate the segment guide that you gave. So I think the 2 changes versus last time we're acquiring, which you moved up a little bit to mid-single digit and then LATAM, I think, moved down a little bit to low 70s. So maybe you can give a little color on what changed within those 2 segments, specifically where acquiring moved up kind of to the higher end of the range and LATAM kind of to the lower end of the range? 
Joaquín Castrillo: Sure. So I think that in the Merchant Acquiring business, we had a good first quarter. Obviously, when we look at the first quarter, there are a few specific items that we think are driving this when we look at the rest of the year. For example, Easter moved up this year in comparison to the last year, and we had a leap year as well. And when we look at April trends, they continue to be on a more normalized basis still in that mid-single-digit range from a sales volume perspective, which is a key driver for us. So we felt more comfortable bringing that to the higher side of the range for the rest of the year.  
 And in the case of Latin America, as we said, I mean, we're continuously obviously looking at how the different pieces are moving. Sinqia still will require us to -- some time for us to bring it back to the growth that we want to extract from that business. And so as we look at the rest of the year, we thought it was prudent to bring that down a little bit. 
Christopher Svensson: Makes sense. And just to clarify, so I guess on LATAM is that you're spending this time investing on tech client-centric stuff in Sinqia and so that kind of product towards the lower end more than anything else. 
Joaquín Castrillo: That's right. That's correct. . 
Operator: The next question comes from John Davis with Raymond James. 
John Davis: Mac, I appreciate the comments so far on Sinqia. I think last quarter, you noted that revenue growth has decelerated a little bit. It sounds like that hasn't probably changed given kind of the tone on investing and kind of working on execution, integration, but how do you think about this business longer term? Do you think you can reaccelerate it back into kind of that low double-digit growth on an organic basis? Or just any other color there on kind of how you think the longer-term trajectory of that business looks? 
Morgan Schuessler: Sure. So I mean I think I said it on the last call and even since then, I spent a lot of time with clients. And the thing that's exciting about Sinqia is local software companies that abide by the local regulations to provide the capabilities they need to compete. We're one of the largest providers and the most dependable providers. So the demand from customers and the desire to do business with Sinqia is obvious when I spend time with them. 
 What has happened over time is they've acquired these companies, they tried to understand it themselves, absorb them, figure out how to operate them together. And then they moved into an M&A process with us. So in my viewpoint, they were a bit distracted with, again, trying to absorb these companies, figure out what the structure should look like and then selling the company to EVERTEC. 
 Today, it's a very different culture and environment, because Bernardo had to step aside for personal reasons. I would say we anticipated that he would probably leave in a year or 2. That got accelerated given some things you needed to focus on. And then we put Claudio in his place now, who has clear objectives for each of the team members to ensure that the sales people are spending more times with clients, make sure that we're tracking the pipeline. They we're resolving operational issues so they want to buy more from us. So there's -- we're much, much closer to the clients, starting with me, but actually, the organization at Sinqia is better organized and better managed from a client perspective. 
 Also once a deal is sold, is making sure the implementation teams can convert that to revenue, get the new system in, get the new customization, so that they can actually book the revenue. So the discipline around executing and operating the current organization, there's a much more significant focus on that from an organizational perspective and from a goal perspective. 
 The other thing is clients want us to keep investing in these platforms. We can't keep buying just new platforms. We actually have to make sure the ones we bought that were great when we bought them. They were keeping those current, they were keeping those updated so they can push more volume through it, that they'll continue to add features. So we've come up with a plan that gives our clients comfort that we're going to invest in this platform. And we prioritize those where we think we can get the most return in the shortest period of time. But we're coming up with a multiyear plan to make sure we invest within these great companies that we thought. 
 And then the other piece that I've talked about is pricing. Like we are going through all of the contracts seeing who's not as profitable as others and how do we better manage the pricing initiatives to get the margin where we want it to be. So what I would say, John, is that we're trying to take the operational sort of excellence that we believe we have at EVERTEC and apply that now to Sinqia. 
 If you look at our historical deals, this is what we did with PayGroup, right? So we bought PayGroup, because we need a platform and technology. And that is now the platform that we've rolled throughout the region. We brought up some of the biggest names in the region, but it took EVERTEC working with PayGroup to accomplish that, because we used our expertise in a processing business and applied it to their [indiscernible] business and rolled it out across Latin America. Same thing we did with Place2Pay, right? Place2Pay was a small gateway operating in 2 countries. Now it operates in over 9 and some of our biggest customers are running on it. 
 So that's what we see at Sinqia is when you do a deal, you always have surprises, right? The great surprises. It's a very important franchise in Brazil, and people want to do more business because they rely. And they even look now that it's part of EVERTEC. The strength we have around information security, the strength we have around compliance, because we operate for big banks in the U.S. It's making the value proposition even stronger in Brazil to do business with us. 
 But the operational excellence, making sure you're staying close to customers, making sure you have stable operations, making sure you're continuing to investing in products. That discipline is what we're now applying to the business. And I feel very confident that Claudio is the right person to lead us through that. And I mean, the team will tell you, I'm spending a lot of time there myself to help accomplish that as well. 
John Davis: I appreciate the color, Mac. Joaquin just a bigger picture question on margins. Obviously, you had very high margins and still have relatively high margins, but they've been coming down consistently even if you were to kind of exclude some of the M&A transactions for a while. Do you feel like with Sinqia accretion and kind of synergies that were at a good kind of baseline margin this year, and that, again, I'm not asking for '25 guidance, but any reason why you shouldn't start to see some operating leverage? Your payments businesses typically have pretty high incremental margins. Just as we think about longer term, like should this business -- should margins improve from here, I guess, is the key question. 
Joaquín Castrillo: I mean what I would say, John, is if you look at our slides from last quarter, with Sinqia specifically, we actually had a little box that said margin optimization. So we are certainly focused on maximizing margin from our current baseline. What I would say historically is that the reasons why margin has come down has been very specific to actions that we have taken. One, with the popular deal, we sold off some assets. And we took on a revenue share on our Merchant Acquiring business that we knew was going to bring margin or put pressure on the margin as we exited that deal, but that gave us extended relationships with the bank, a renewed relationship with the bank and got us out of the bank holding company that allowed us to do more M&A. 
 We did Sinqia now, which is as we knew coming in at a slower contribution margin, because it doesn't have obviously the same scale that we necessarily have in Puerto Rico. And as we said, as we become more and more successful in Latin America, that will continue to put pressure on the margin. So I think that when we look at historically how we've gotten to where we are today, it hasn't been really operationally driven. It's been very specific and purposeful actions that we have taken. And now we're focused on margin optimization and efficiencies across the board, as Mac just mentioned. So our goal would be to certainly focus on margin going forward. 
Morgan Schuessler: Let me just add to that, John, is as Joaquin said, the margin declines, you've seen in the overall company, have been strategic decisions, right? The Popular deal and the Sinqia deal. If you look at -- so it hasn't been a lack of operational focus and leverage, it's been strategic decisions to continue to change and evolve the company. If you look at when we have bought other companies, like the PayGroup, like Place2Pay and we tuck those into LATAM. Over time, we do increase the margin as we operate it. But the margins, as Joaquin said, the step downs we've taken have been a strategy to continue to grow the company. 
Operator: The next question comes from Vasu Govil with KBW. 
Vasundhara Govil: Mac, 2 quick ones for you on Sinqia first. I got your comments about the debt modernization and investment in the platform. Just wanted to understand if you think that's going to be a prerequisite for you to be able to take the pricing changes that you're hoping in that business? Or could pricing changes happen? I'm just trying to get a sense for whether pricing can be an upside driver relative to expectations for this year or is it more of a longer-term upside driver? 
 And then a quick follow-up on that is just the tech spending and demand environment in Brazil from a macro perspective. If you could give us some color on that? 
Morgan Schuessler: Vasu that's an incredibly insightful question. So we are deliberately going through all of the repricing, and we're looking at all of the contracts. I would say the combination. We have some immediate opportunities to reprice contracts, and we are -- some of the repricing could be predicated on some improvements that we need to make in investments. So -- but some of those investments we can make very, very quickly, and they're already in the plan for 2024. I mean what we're going to do around -- that's in the guide today is it impacts this year, but it will be both. This is something we can do immediately. Some will require investment. And some may require longer-term investments. So it's going to be a blend. But there is definitely an opportunity to increase the margins of the business and to do more with our customers as we make these investments.
 Technology spend in Brazil, I think was your second question. I mean, look, this is one of the most dynamic markets in the world as it relates to technology. I had met with the President of the Justice System. They're actually using artificial intelligence now to make judicial decisions. I mean to make case decisions, but with judicial oversight. Then you've got techs and open AI and what's going on in banking. 
 So there's so much change going on in financial services and such a need for financial institutions to keep up and with those changes, the technology providers like Sinqia are incredibly important to the market. And that I feel that and I hear that from our customers. They want us to be able to help keep up with them as the market changes and as they are putting new products in the market. So I think it's a great opportunity for EVERTEC and Sinqia. 
Vasundhara Govil: A quick one for you, Joaquin. Just I got the number, 27% transaction increase in ATH Móvil. Any color on what drove that trend? And anything onetime in that? Or do you expect that type of strength to continue? 
Joaquín Castrillo: No. I mean, look, it's mostly ATH Móvil Business. What I would say is that, that actually has been consistent. I think what for us continues to be very positive, that's coming off of strong growth historically, right? So we -- this is on top of very good growth last year. Again, we did have some seasonality in the first quarter, because of the leap year and Easter kind of getting pushed into the first quarter. But the business continues to perform well, and it continues to drive some growth through the Payment Puerto Rico segment. 
Operator: The next question comes from Jamie Friedman with Susquehanna. 
James Friedman: Congratulations on the results. Mac, I wanted to go back to some of your prepared comments about the macro environment, which is so helpful in Puerto Rico, in particular, you referenced here that unemployment had a very low 5.7%, the employment rate, the highest since 2009 and travels up. I'm just wondering, I know it's hard to tell, but what's your confidence level that we wind up staying here? And is that macro tailwind embedded in the guidance? 
Morgan Schuessler: So look, given your specific guidance, Joaquin, I'll let you kind of talk about how you blend that in. 
Joaquín Castrillo: Jamie, yes, I mean, look, we actually -- this is consistent is what I would say to what we expected. And I think we're reiterating the fact that the macreconomic environment in Puerto Rico is supportive of what we're trying to accomplish from a growth perspective. If you look at the details that we actually provided last quarter where we even went further and put some incremental stats and graphs, I think that was the baseline, and we're really reiterating that we believe that we have a good background to deliver on the numbers that we have just guided to. 
Morgan Schuessler: I mean the thing I would add is that there's a lot of ambiguity about what's going on with the economy today anyway, right? If you look at the current labor numbers in the U.S., what are people going to do with interest rates. It's hard to predict what next year is going to look like at the next year, depending on who you talk to. Keep in mind, Puerto Rico is a little bit different. So a big part of our economy are still federal subsidies for people that are on welfare. We still have money to come in from the hurricane. 
 So we do have an underlying sort of economic stimulus that's a little bit more sheltered than you might find in the U.S. But it is -- look, I mean we can't predict the Puerto Rico economy into '25 and '26 any more than people can in the U.S., but you do have some stimulus here that is unique and helpful. 
James Friedman: And then for my follow-up, Mac, I'm just curious now that you're 6 months in with Sinqia, and you're spending so much time in Brazil. And I realize Brazil is one of the most dynamic markets you said it earlier. But at a very high level, how does it feel to be like instead of the big fish in a small pond, normal fish in a big ocean? 
Morgan Schuessler: It's a great question. So I mean, I would say on a personal level, I mean, look, I ran the Global Payments International business. I did business in China, did business in Russia and India. So I mean that's a dynamic that on a personal level, I've seen before and managed through. What I would tell you, though, and this is one of the reasons Sinqia was so attractive is it is one of the larger technology companies in Brazil. So Brazil is an incredibly exciting market. It's an incredibly evolving market. But the reason Sinqia such a great asset is because it is one of the larger technology companies. And that's why we had the confidence to move into Brazil with a specific purchase versus going in with a much smaller company that didn't have the credibility, they didn't have the leadership team and they didn't have the track record and the industrial strength products already proven. 
 So it is similar to me in EVERTEC and that people in Puerto Rico wanted to do business with EVERTEC because of our -- the products that we have, because of the presence we have, because of the commitment we have to the island. There's a similar affinity for Sinqia as well in Brazil. It does remind me a little bit of EVERTEC and that we need to focus on operational excellence and delivery in Brazil with our -- with Sinqia, but it is a very relevant player in the market. 
 When I meet with executives and leaders and financial services, even bank, even CEOs of banks in other countries, they were aware who Sinqia is. They know the legacy and the history and they have an understanding of we're capable of. So there are some similarities of the strength of EVERTEC in Puerto Rico with the strength of Sinqia in Brazil. 
Operator: The next question comes from James Faucette with Morgan Stanley. 
Unknown Analyst: I'm asking a question on behalf of James Faucette. I was wondering how you're looking at capital allocation for 2024, 2025 and specifically, how you might be looking at timing or appetite for M&A now that the Sinqia deal has closed and you've started seeing those contributions coming in and kind of what that pipeline might look like? 
Joaquín Castrillo: Yes. So look, specifically now with Sinqia, one thing to remember Sinqia being a highly acquisitive company, also had a very good M&A team locally. They are very close to the entrepreneurs, to open coming companies that have technology that's either adjacent or complementary to Sinqia. So we certainly want to continue to leverage that, that has been a key part of how Sinqia has grown to be what it is today. And so we certainly continue to have a pipeline. 
 In terms of general priorities for capital allocation, we continue to look for growth. I'd say that the scale or the size of the deals that we're probably looking at are now more like what we used to do before Sinqia. So relatively small size that we can attach to Sinqia or some of our other countries or entities across Latin America. But we're certainly continuing to focus on growth. And after that, as we announced on the call, we entered into an ASR, $70 million ASR to make offer some of the shares that we issued as part of the Sinqia deal, but also to buy back some of our shares, as we usually do every year to offset some of the dilution coming from some of our long-term incentive plans. 
 So those are the priorities. And obviously, now with interest rates, we're obviously always looking at where is our debt, where our rates and whether it makes sense for us to pay down some debt and save some interest expense cost. 
Morgan Schuessler: Yes, I would say that -- I mean, the big thing is that's more expensive So that's now something you look at more than you would have looked at in the past, the potential to pay down. Like Joaquin said,  we're still focused on M&A, more tuck-in deals like we used to do in the past, and we now have a bigger operation within which we can tuck those in. So we have a very healthy pipeline within Brazil and outside of Brazil and that's still a focus of the team. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mac Schuessler for any closing remarks. 
Morgan Schuessler: I want to thank everybody for joining the call. Joaquin, I look forward to seeing you over the coming quarter at different conferences and events. And thanks, and have a good night. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.